Operator: Good afternoon and welcome to the Amtech Systems First Quarter 2013 Financial Results Conference Call. All participants will be in a listen-only mode (Operator Instructions). After today's presentation there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. This time I would like to turn the conference call over to Mr. Brad Anderson, Chief Financial Officer of Amtech. Mr. Anderson, please go ahead.
Brad Anderson: Thank you, and good afternoon and thank you for joining us for Amtech System’s first quarter results conference call. On the call today are J. S. Whang, Amtech’s Executive Chairman, Fokko Pentinga, our President and Chief Executive Officer and myself Brad Anderson, Chief Financial Officer. After the close of trading today, Amtech released its financial results for the first quarter fiscal 2013 ending December 31, 2012. The release will be posted on the company’s website at amtechsystems.com. During today’s call, management will make forward-looking statements. All such forward-looking statements are based on information available to us as of this date and we assume no obligation to update any forward-looking statements. These statements are not guarantees of future performance and actual results could differ materially from current expectations. Among the important factors which could cause actual results to differ materially from those in the forward-looking statements are changes in the technologies used by our customers and competitors, change in volatility and the demand for our products, the effect of changing worldwide political and economic conditions on government funded solar initiatives, capital expenditures, production levels, including those in Europe and Asia, the effect of overall market conditions, including the equity and credit markets and market acceptance risk. Other risk factors are detailed in the company’s Securities and Exchange Commission filings in including its Form 10-K and Form 10-Q. J. S. Whang, our Executive Chairman will start our discussion today. Fokko Pentinga, our President and Chief Executive Officer will update you on current operations and discuss the progress in our technology and product development roadmap. I will then discuss first quarter financial results So I'll now turn the call over to J. S. Whang, our Executive Chairman to begin the discussion.
J. S. Whang: Thank you, Brad. Good afternoon everyone. We really appreciate your ongoing interest in Amtech Systems as you joined us for this discussion of our Q1 2013 financial report. While Fokko and Brad will discuss our Q1 result and update you on technology and operational progress, I will focus my comments on our view of the market conditions and what we see as a long term opportunity for solar. Today we continue to operate in a challenging and extended market down cycle as visibility of improved demand continue to be very limited. Therefore, at this time we remain cautious in our outlook for fiscal 2013. For this year, we are expecting continued soft demand as the market remains conservative with their capital and delays major investment for production line upgrades, capacity expansions and very importantly new technology buying to produce higher efficiency solar cell. We expect to see some improved industry this year with regard to the supply demand imbalance impacting the industry. We are already seeing some signs of this improvement and expect the factors support our view on this. Fokko, our CEO will provide further comments on this (inaudible) leading indicators. Before I turn the call over to him, Fokko, I want to emphasize that we are very optimistic about the longer term opportunity in solar. We believe solar is a very viable source of renewable energy and will be an important part of the global energy and climate solutions. Even in this difficult times, governments around the world continue to develop and support extension and investment in solar. There is also more and more utility scales solar projects being announced and there is an increase to demand in both the commercial and residential market as cost of solar per watt continues to come down. It is clear solar is now an important part of the global energy mix and we strongly believe in it as a long term growth opportunity. We are very confident that we will again emerging from this time strong and well positioned to deliver profitable growth in the next solar recovery and growth cycle. I will now turn the call over to our CEO Fokko Pentinga. Fokko?
Fokko Pentinga: We are very pleased to announce today that Tempra Systems, our solar subsidiary received approximately $5 million in new orders for our solar diffusion processing systems. These orders from one of our top customers in Asia are expected to ship within the next six months. As J.S. mentioned, I would like to comment and what we see as to drive us for an eventual market factor. These are factors that we are reviewing each day as we talk with our customers and monitor the broader market for science of the (inaudible). First, I would like to emphasize that global solar installations have been growing through these difficult times. Growth in China, the U.S. and Japan is now offsetting the drop of installations in Germany and Italy. But 2013 global installations are predicted to be about 35 gigawatts, up from 30 gigawatts in 2012 so more than 10% growth. We viewed the continued growth through this difficult time as a positive indicator on the long term opportunity. Many regions around the globe are adding solar to their energy portfolio and China is especially an important growth market. You may have seen the news regarding the (inaudible) in late January and the need to shut down manufacturing plants and limit car and airline travel. I think there are many millions of Chinese who would say that China desperately needs solar and Beijing is acting on that expectation. Several forecasts mention 10 gigawatts of solar capacity to be installed in China in 2013. At this time, this presents approximately 30% of the expected 2013 total global demand. Forecasts are now for 40 gigawatts to be installed in China by 2015 and we’ve seen overtime that Beijing has been inclined to repeatedly accelerate their solar development plan. They also name the suppliers of the photovoltaic modules for these projects which include our industry leading customers. Solar energy now at the competitive near grid parity prices clearly proving to be a technical viable and economic energy source, incremental technology improvements are required to continue its progress further increase the efficiency of solar cells and ensure ongoing progress is made in regards to the total cost. We are uniquely positioned as the market leader and a proven provider of the next generation solar technology solutions and we continue to see progress within our key developments and technology programs namely the INM plant, the (inaudible) cell technology. I'd also quickly like to touch the semiconductor business. It is experiencing lower volumes giving the current soft demand environment; however, as we have pointed out before it has value and that it diversifies our product mix, generates cash and requires near zero investments as we serve the longstanding repeat customers. In summary, with our December 31, 2012 cash position of more than $40 million we believe we’re well positioned to manage through this low point in the cycle and defend our position as a market leader. We are confident in our ability to deliver incremental technology improvements as we selectively invest in research and development initiatives and continue to work side by side with our customers. The solar industry is progressing and within that opportunity we are well positioned to deliver profitable growth over the longer term. Brad will now discuss the quarterly results, Brad.
Brad Anderson: Thanks Fokko, let’s review our first quarter results, net revenue for the first quarter of fiscal 2013 was $9.4 million compared to 10.9 million in the preceding quarter and $24.7 in the first quarter of fiscal 2012. The changes reflect the continued unfavorable market conditions in the solar industry as well as lower activity with semiconductor portion of our business. Total customer orders in the first quarter of fiscal 2013 were $5 million, $200,000 of which were solar, compared to total orders of 5.6 million in the fourth quarter of fiscal 2012. At December 31, 2012 the company’s total order backlog was 14.7 million compared to total backlog of 18.7 million at September 30 2012. Total backlog of December 31st includes 10.1 million in solar waters and deferred revenue compared to solar backlog of 13.8 million at September 30th, 2012. Foreign exchange caused a $400,000 increase in backlog in the December quarter, due to the strengthening of the Euro versus the U.S. dollar. As a remainder backlog includes deferred revenue and customer orders that are expected to ship within the next 12 months. Gross margin in the first quarter of fiscal 2013 was 15% compared to a negative 63% sequentially and a positive 29% in the first quarter of fiscal 2012. The negative gross margin in the fourth quarter of fiscal 2012 reflects significant inventory write downs and losses on inventory purchase commitments. The lower margins compared to the first quarter of fiscal 2012 resulted primarily from lower sales volumes. SG&A expense in the first quarter of fiscal 2013 was 4.3 million compared to the preceding quarter's 4.4 million. SG&A expenses decreased 2 million from the first quarter of fiscal 2012 due primarily to lower commissions and shipping costs related to lower revenues as well as lower consulting legal expenses and companywide cost control initiatives. Restructuring expense was $700,000 in the first quarter of fiscal 2013 reflecting severance costs related to reduction in force, actions at certain operations. Research and development expense was 1.2 million in the first quarter of fiscal 2013 compared to 3.9 million in the preceding quarter and 2.8 million in the first quarter of fiscal 2012. The reduction in the R&D expense is due to a decrease in R&D expenditures and increased recognition of government grant funding during the quarter. Depreciation and amortization in the first quarter of fiscal 2013 was $699,000 compared to 670,000 in the preceding quarter and 769,000 in the first quarter of fiscal 2012. Included in the first quarter of fiscal 2013 results is $433,000 of stock option expense compared to 465,000 in the first quarter year ago and 422,000 in the fourth quarter of fiscal 2012. Income tax in the first quarter of fiscal 2013 was a benefit of $0.5 million resulting in an effective rate of approximately 10%. Total revenue by geographic region for the fiscal first quarter was the Asia-Pacific region at 54%, Europe at 24% and North America at 22%. We continue to maintain a solid financial position with essentially no debt and total cash and cash equivalents of 42.6 million compared to 46.7 million at September 30th 2012. The decrease in cash is due to the operating losses and continued investment in new technologies including our solar ion implant. At December 31st 2012, we had working capital of approximately $57.8 million. We continue to manage operations to maintain our solid financial position. This concludes the prepared remarks section of our conference call. Operator please open the call for questions.
Operator: (Operator Instructions) And our first question comes from Jeffery Osborne from Stifel Nicolas; please go ahead with your question.
Jeffery Osborne - Stifel Nicolas: Brad, on the R&D run rate, that was a lot lower than I thought in particular with the grant. can you just talk about what specifically that was for, and you mentioned recognition of the grant. Is there any additional recognition for milestones that you would be achieving over the coming quarters, or should we assume that we revert to the run rate that you had seen in prior quarters?
Brad Anderson: The grants were primarily related to solar government grants in China that we received, and so the timing of those is hard to predict, when those come in and while some have certain milestones, others are more blanket grants. I think the expectation would be that we would not see that much of a significant recognition in future quarters.
Jeffery Osborne - Stifel Nicolas: Is this attributable to Kingstone then? is that why the Kingstone loss was better than expected as well?
Brad Anderson: Significant part of it was, there are some grants we continue to receive and other ones also but the primary driver was Kingstone.
Jeffery Osborne - Stifel Nicolas: And then you mentioned the restructuring cost of $700,000 is there a way you can just flush that a little bit more, was that all attributable to the Dutch location on the solar side or was there anything done domestically with/or in France with the other divisions of the company?
Brad Anderson: The restructuring charge itself was primarily related to our European operations so both in Holland and in France and we continue to make some adjustment even domestically on our semi-conductor side but that really didn’t contribute much to the rif charge.
Jeffery Osborne - Stifel Nicolas: Would you expect anything additional in this quarter, the following quarters or is everything kind of in the rear view mirror on the restructuring expense side?
Brad Anderson: I think the main comment to make there is we continue to evaluate our operations depending on what we see as far as order intake and opportunities in the next couple of quarters.
Jeffery Osborne - Stifel Nicolas: And just to hear for Fokko on the semi-conductor side, what type of outlook are seeing over the next six to nine months, do you see any types of improvements on that front and then on the solar side in particular may be just as things kind of normalized out here and you went in great detail in the call about the end market demand and things are improving but do you have a sense of which geography you would except, I imagine for Asia but in particular within Asia, do you expect the Taiwanese, the Koreans or the Chinese to spend first.
Fokko Pentinga: On the semi-conductor improvements of course, mostly were in the analog and power and for example car sales in Europe are not really up. so it depends a little bit on what happens there and hard to predict but I would expect later on in the year that it will pick up again, semi-conductors have its ups and downs, not like solar when it takes two years and they generally last a couple of quarters and then they will pick up again. So, I don’t expect that to be very long. And now for the solar, which geography I expect is China is still the one that’s in my opinion by far the highest chance although in Taiwan also the factory load is going up quite a bit but still the end market is a lot dominated by the panel manufacturers and of course mostly make the cells from China and of course you know 10 gigawatt potential market in China, that’s make a big difference too. So there I definitely would say that China is there on the first spot and Taiwan at two and Korea you never know once they really start to going, it can go quick, but for now I think China and for us that’s a good thing because that’s where our best customer base is.
Jeffery Osborne - Stifel Nicolas: Excellent and just a follow-up on that, to my understanding, the installed base of Taiwan that 8 or 10 gigawatts is predominately centered there, if I am not mistaking, given their insolvency, does that present an opportunity for you, is that capacity becomes fully utilize or do you expect the Chinese competitors to fare well in that market, should they start spending?
Brad Anderson: Well, see first of all in Taiwan there is some consolidations in the way with the solar some may start working together. do I see a lot of expansion there? And of course we will do our best and get a larger portion of that but if there is not much order, you can’t get much out of it, so for us at the moment still China is our best opportunity.
Operator: Our next question comes from Mark Miller from Noble Capital. Please go ahead with your question.
Mark Miller - Noble Capital: Yes end of that announce within the last two weeks that we see this first production order for an INM planer from a large agent solar manufacturer, just wondering if you can give any color on that, are you aware of that, are you aware of the capabilities of their system versus which system you’re trying to market and where that might be?
Fokko Pentinga: They did not provide further details on what customer it is. of course we can think of few. now I couldn’t guess too much further detail on that from our perspective and we believe we have a better system but all depends also on what have you done at a customer before and have you put any smaller systems in there for test and so technically we don’t see that as a system that would be better than ours. we look at it obviously from the other side; we think we’ve got a better system. but I think all in all they started a little bit earlier than we did, so that maybe a bit of an advantage for them, but we’re catching up very fast not only on the main, the big implant producers, but I think we really have a good position there but it takes bit time.
Mark Miller - Noble Capital: I am just wondering, you said, you believe you have a better system can you provide some comparison or what’s your basis for that belief, technically?
Fokko Pentinga: Basis for that belief from what I see is, what we see is our efficiencies improvements we get and what others have published. We think we have a good position there. Do I have the exact details on that, I don’t, but that’s from what we see on publications in our experience we have right now at the client and our machine and qualification. And I think overall cost of ownership in our case should be very good especially compared to the earlier systems that were put in the market and technically we believe with the mass separation that we have a better system, but then again overtime the market will tell which one is a better case at the end.
Mark Miller - Noble Capital: I was just wondering, in terms of older diffusion furnaces, is there any possibility that people will retire them to replace them with more efficient newer units?
Fokko Pentinga: Well, it would not be just a diffusion furnace. I mean if you a line, it is just one part of it and those furnaces, especially the ones we make, they last a bit a little bit longer than we sometimes like and again, tune to many different types of processes. We believe more that the older lines, the total line is just getting very difficult to upgrade. So I more expect that some of those older lines will completely shut down and those equipments are not necessarily being used for the newer high efficiency technology lines.
Operator: (Operator Instructions) Our next question comes from Howard Halpern from Taglich Brothers. Please go ahead with your question.
Howard Halpern - Taglich Brothers: Going back to the restructuring charge, do you have some sort of run rate of savings that could occur over the next 12 months from this latest one?
Brad Anderson: We haven’t given any specific numbers related to that. It’s just a part of our overall plan of continued reduction and full time equivalent headcount. And I think you can start, you can kind of see some of those results already showing up when you look at our SG&A line compared to a year ago and several quarters ago. We continue to see the benefits.
Howard Halpern - Taglich Brothers: And I guess this is more of a question going out in time, when the upturn does commence, you envision quicker ramp to getting your gross margins to where they were in the past rate, in the past up cycle.
Brad Anderson: The, as far as the ramp and margins depend on how the market situation is at that time, of course we continue to feel some pricing pressure when business is difficult to come by right now, but really no predictions at this point in time as to how fast the ramp up will be.
Howard Halpern - Taglich Brothers: And one final question, of the new solar orders that were just received were any of them for the more efficient or efficient products that you are offering.
Brad Anderson: In our press release we mentioned that it was related to our diffusion processing system and that's where the order is coming for our diffusion furnace systems.
Operator: And ladies and gentlemen in showing no additional questions, I'd like to turn the conference call back over to management for any closing remarks.
Brad Anderson: Thank you for your time today and for your interest in Amtech, I’ll be available for any additional questions you may have and welcome your follow up calls. This concludes today's call, thank you.
Operator: Ladies and gentlemen, that concludes today's conference call, we do thank you for attending, you may now disconnect your telephone lines.